Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Black Diamond's Preliminary 2012 Results and Full Year 2013 Guidance. Joining us today are Black Diamond's President and CEO, Mr. Peter Metcalf; and the company's CFO, Mr. Robert Peay. Following their remarks, we'll open the call up for your questions. Before we go further, I'd like to take a moment to read the company's Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Please note that during this conference call, the company may use words such as appears, anticipates, believes, plans, expects, intends, future and similar expressions, which constitute forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are made based on the company's expectations and beliefs concerning future events impacting the company and therefore, involve a number of risks and uncertainties. The company cautions you that forward-looking statements are not guarantees that actual results could differ materially from those expressed or implied in the forward-looking statements. Potential risks and uncertainties that could cause the actual results of operations or financial condition of the company to differ materially from those expressed or implied by forward-looking statements used in this conference call include, but are not limited to, the overall level of consumer spending on the company's products; general economic conditions and other factors affecting consumer confidence; disruption and volatility in the global capital and credit markets; financial strength of the company's customers; the company's ability to implement its growth strategy; the company's ability to successfully integrate and grow acquisitions; the company's exposure to product liability or product warranty claims and other last contingencies; the stability of the company's manufacturing facilities and foreign suppliers; the company's ability to protect trademarks and other intellectual property rights; fluctuations in the price, availability and quality of raw materials and contracted products; foreign currency fluctuations; the company's ability to utilize its net operating loss carryforwards; and legal, regulatory, political and economic risks in international markets. More information on potential factors that could affect the company's financial results is included from time to time in the company's public reports filed with the Securities and Exchange Commission, including the company's Annual Report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. All forward-looking statements included in this conference call are based upon information available to the company as of the date of this conference call and speak only as of the date hereof. The company assumes no obligation to update any forward-looking statements to reflect events or circumstances after the date of this conference call. I would like to remind everyone that this call will be available for replay through February 28, 2013, starting at 8:00 p.m. Eastern tonight. A webcast replay will also be available via the link provided in today's press release, as well as available on the company's website at www.blackdiamond-inc.com. Any redistribution, retransmission or rebroadcast of this call in any way without the express written consent of Black Diamond, Inc. is strictly prohibited. Now I would like to turn the call over to Chief Executive Officer, Mr. Peter Metcalf. Sir, please go ahead.
Peter R. Metcalf: Thank you, Camille, and good afternoon, everyone. Thanks for dialing in to join us this afternoon. The primary purpose of this conference call is to discuss our outlook for 2013 and beyond. In addition, at the end of our call today, we'll also discuss Robert Peay's recent decision to transition out of Black Diamond and our plans to replace our CFO. While a full year 2012 audit is in process and not yet complete, during this call we plan to provide you with some limited and preliminary high-level financial results for 2012, to establish a baseline from which to discuss our expectations for the future. We expect to discuss our actual 2012 financial results in detail in March, when the audit is complete. I will deliver all of our prepared remarks today, which are purposely limited to leave more time for a thoughtful question-and-answer session at the end of this call. From our perspective, 2012 was a transformational year for Black Diamond, filled with a number of significant achievements. Not only did we achieve record revenue, but we successfully executed against our most important strategic objectives. For example, we officially introduced our own Fall '13 apparel brand to the trade globally. Secondly, we set up our own ski manufacturing operation, which was -- which we expect to begin delivering in Fall 2013. We acquired the Japanese distribution asset to Gregory Mountain Products from A&F and established our own distribution in Japan. We continue to invest heavily in our infrastructure. We entered 1 new primary product category and 6 new product niches to the strategic acquisition of POC and PIEPS, and we continue to grow organically. As a result, we entered 2013 as a meaningfully larger, stronger and more diverse enterprise. Together, we are a well-rounded collection of meeting outdoor brands and with our apparel expected to be in stores in fall of 2013, we believe that we are executing on our vision to become a diversified global brand leader in both hard goods and softgoods across all 4 seasons. 2013 is shaping up to become an equally transformative year, as we continue to invest in our organic growth initiatives and aggressively integrate 2 strategic acquisitions. In 2014, we expect to begin realizing the benefit of these investments with accelerating profitability. So moving on to the 2012 results. To put the future in context, I want to start with some preliminary, unaudited financial results for 2012. In spite of mild winter weather in North America during the holiday shopping season and existing economic uncertainties in both the U.S. and Europe, leading to lower ASAP sales at the end of the fourth quarter, we expect to report fourth quarter 2012 total sales of approximately $48.4 million, up approximately 33% to $36.3 million in the year-ago quarter. The increase is largely attributed to the contribution of POC and PIEPS, which were both acquired in the second half of 2012, partially offset by the impact of the amount of inventory repurchased from Black Diamond's Gregory Mountain Products Japanese distributor, for which revenue was not able to be recognized of approximately $400,000. Fourth quarter revenue also included a meaningful amount to seasonal ski products sold at discounted prices. For the full year ending December 31, 2012, we expect to report total sales of approximately $175.5 million, up approximately 20% from $145.8 million in 2011. Currently, we expect gross margins in the fourth quarter of 2012 to be around 36%, compared to 39.2% in the year-ago quarter. Gross margin in the fourth quarter of 2012 includes approximately $1.2 million or 2.5% of expected total sales for inventory fair value of purchase accounting adjustments related to the acquisitions of POC and PIEPS. When we discuss our actual 2012 financial results in detail in March, we expect to present a reconciliation of adjusted gross margin, excluding these adjustments from our fourth quarter 2012 gross margin, which we anticipate will reflect a small decline from the year-ago quarter, largely due to the sale of discontinued winter merchandise during the quarter. Gross margin for the full year of 2012 is expected to be around 38%, compared to 38.7% in 2011. Gross margin in 2012 includes approximately $2.3 million or 1.3% of expected total sales of purchase accounting adjustments. When we discuss our actual 2012 financial results in detail in March, we expect to present a reconciliation of adjusted gross margin, excluding these adjustments from our full year 2012 gross margin, which we anticipate will reflect an improvement from 2011, in spite of the sale of discontinued merchandise and primarily attributed to the shift in mix towards higher margin products, as well as inclusion of both POC and PIEPS. The company defines adjusted gross margin to mean gross margin plus the impact related to the sale of inventory that was reported at fair value and purchase accounting. Now moving on to 2013. Using the 2012 estimated sales and gross margin as base lines, let us turn your attention to the future, that's 2013 and beyond. For the year ending December 31, 2013, we anticipate sales between $216 million and $221 million, which would represent an increase of between 23% and 26%, from our expected 2012 sales level of approximately $175.5 million and an increase of between 18% and 20% had we owned POC and PIEPS since January 1, 2012. Without knowing for sure how foreign currency movement will impact the business in 2013, we are forecasting consolidated gross margins, for fiscal year 2013, to be approximately 40% to 41%. Over time, we are working towards and expect higher gross margins to result from increasing scale, as well as higher-margin product mix, which includes apparel and higher-average gross margins at POC and PIEPS. From an expense point of view, we anticipate that 2013 will be another significant investment year. We are investing heavily in the organic growth of our brands, in particular, apparel, but also in the integration of POC and PIEPS onto our global operating platforms in North America, Europe and Asia, where we have no intention of providing specific earnings guidance in order to maintain flexibility as the invested year develops. We expect our total SG&A to increase in 2013 by between $20 million and $25 million. This increase includes approximately $10 million of incremental operating expenses arising from a full year of operating expenses at POC and PIEPS, as well as an incremental $10 million to $15 million investment in apparel, ski manufacturing, Japanese distribution, e-commerce, visual merchandising, and significant merger and integration expenses associated with POC and PIEPS. During 2013, we expect to invest approximately $5 million in capital spending, which includes approximately $1.8 million in new tooling across the business, approximately $500,000 into each of our ski manufacturing facility and our e-commerce platform, which albeit the smallest part of our business, is also one of the fastest-growing. We expect to continue to work hard to manage our working capital during 2013 and still expect to see both accounts receivable and inventory increase, but at a lower rate than our expected revenue growth for 2013. We are enthusiastic about 2013 as the launch year for apparel, which we expect to be in stores in the fall, and we are also looking forward to 2014, when we expect to see accelerating organic sales growth and begin realizing the benefits of scale, integration and operating leverage in our business. As for 2014, from our perspective and from where we sit today, we are currently building our 2014 strategic plan around an expected 20% revenue growth over 2013, slightly increasing gross margins and a $10 million to $12 million incremental investment in operating expenses. We believe that 2014 is beginning to look like the year in which EBITDA begins to accelerate. Looking beyond 2014, 2012 was a year of transformation. 2013 is shaping up as a year of integration, and we believe will be remembered as a year that Black Diamond launched its apparel. We expect 2014 to be the beginning of a series of longer periods of growth and the years in which BD begins to realize returns on a multiyear investment period. By Spring/Summer 2016, we expect to have introduced 6 sequential apparel seasons, building from 24 styles, initially, to a completed line of approximately 180 to 200 styles. With the addition of POC and PIEPS, and perhaps some additional categories as opportunities present themselves, we are building our internal planning around a diversified 5-year compounded annual growth rate, expected to be between 15% to 20%. While achieving these levels is dependent upon a number of internal and external factors outside of our control, we expect that these growth rates, combined with anticipated increased operating margins, will allow us to reach a point during this period, where our returns on invested capital begin to exceed our weighted average cost of capital. During this time, we expect to achieve gross margin improvement from a higher-margin product mix and increasing scale. We are so compelled by the organic growth curve in front of us, that we expect to focus our resources more on the organic opportunity than on strategic acquisitions. By the end of 2017, we believe our business will be even more balanced from a geographic product and seasonal basis. We have shared this plan with Zions Bank and are currently negotiating an amended and restated revolving credit component, which is expected to increase our current $35 million credit facility to $55 million, which includes a limited acquisition facility. We believe that the acquisition line will be adequate for the types of acquisitions that we are currently working on, and we expect to have this facility in place by the end of the first quarter of 2013. Between the amended and restated facility with Zions Bank and our own internally generated capital, we are confident that we have adequate funding to achieve the plans that I've just outlined for you. To be direct, we are not currently, and do not expect in the near future, to access the equity capital markets for financing in order to achieve our current 5-year plan. So let me move on to Robert's resignation. Many of you may have seen the press release that we issued at the close of the market today, announcing effective March 15, 2013, that Robert Peay expects to resign as Black Diamond's Chief Financial Officer, to take some time off to spend with his family. Robert has agreed to spend -- excuse me, Robert has agreed to remain involved with the company through the end of 2013, on a part-time basis, and to assist and be available through our transition to a new CFO during 2013. Robert has served our company for more than 16 years, and we owe him a debt of gratitude for the quality of that service. Aaron Kuehne, our VP of Finance, has been with the company for the last 2.5 years and will assume Robert's primary responsibilities as Interim CFO, serving as the company's Principal Financial Officer and Principal Accounting Officer. Aaron has my complete confidence, as well as that of the company's Board of Directors, in assuming these new responsibilities. Aaron has an MBA from the University of Utah and is a CPA with Big 4 accounting experience, as a manager with KPMG. The company intends to conduct a formal search for a permanent CFO, and Aaron Kuehne will be considered part of that search. Thank you, and at this time, I'd like to open up this call for questions to both myself and Robert Peay.
Operator: [Operator Instructions] Our first question is from the line of Sean McGowan with Needham & Company.
Sean P. McGowan - Needham & Company, LLC, Research Division: I wanted to first start off by wishing Robert the best and thank you for all your help over the years. If I can start with one thing, we don't really have a base of expenses in 2012 to work with some of your comments, Peter, on what to expect in '13 and beyond. Can you give us some color on that?
Robert N. Peay: Hi, Sean. This is Robert, and thank you. During our last call, our Q3 call, we wanted to set the baseline for 2012 OpEx, and so we talked about a range between $61 million to $63 million of total OpEx expense for 2012. And at this time, I'd like to reaffirm that that's the amount that we expect to see in 2012.
Sean P. McGowan - Needham & Company, LLC, Research Division: Okay, that's helpful. And any comment, either from you or from Peter on kind of what the -- what we're seeing in terms of early Q1? Has the weather helped? Is that cleared out some retail inventories? That kind of thing?
Robert N. Peay: I want to be careful here in -- because we don't give guidance in mid-quarter, but what I will say is that I feel a lot more confident about this month and this quarter today than I did on December 31, as I was looking forward. As you know it has truly been cold and snowy throughout Europe and North America, and I think it's well known, and the ASAPs have been picking up at retail, both in Europe and North America.
Sean P. McGowan - Needham & Company, LLC, Research Division: Okay, that's helpful. And any indication at this point where initial orders look like for the apparel line?
Robert N. Peay: We are feeling quite good about the response we've gotten from the trade around the world. We're doing our final wrap-up of the launch in Japan right now, as I speak, in Yokohama. But the response that we've gotten has been very much along the lines of what we had hoped for. So we're feeling very confident about our 2013 fall numbers.
Operator: Our next question is from the line of Andrew Burns with D.A. Davidson.
Andrew Burns - D.A. Davidson & Co., Research Division: Robert, it's great working for you, best of luck in your next endeavor. I had a couple of questions. I just wanted to clarify, there was a lot of numbers there giving -- in terms of the 2017 target and some rough SG&A. So I just wanted to make sure I got everything. SG&A, rough, in absolute dollars increased for '13 could potentially be $20 million to $25 million, followed by another $10 million to $12 million in 2014. Is that correct?
Robert N. Peay: Andrew, that's correct.
Andrew Burns - D.A. Davidson & Co., Research Division: Okay, and within that $20 million to $25 million, there was $10 million to $15 million in apparel investment. Was that correct?
Robert N. Peay: Yes. Andrew, let me kind of break down the bucket of OpEx. And so the $20 million to $25 million, let me put this in kind of 2 chunks. The first chunk of $10 million is the incremental spend for POC and PIEPS. So what we spend on 2012, we're looking to spend another $10 million on those brands in 2013. And what this relates to is there are some kind of back-office costs that we need to incur to make sure that we've got the right systems in place, and we have the right infrastructure. It is worth noting though that we do believe that those costs that we'll spend in 2013 will be significantly less than a POC had to go -- a POC and PIEPS had to go spend this amount of money on their own, if they were standalone brands. But I would say that the lion's share of that $10 million of increment is specific to the brand. It's for products, it's for sales, it's for marketing.
Peter R. Metcalf: And it's the full year.
Robert N. Peay: And keep in mind it is for a full year. So we had POC in our consolidation for 6 months, and we had PIEPS only for 3 months. So this would be then the full year effect of those of OpEx. And if we go to the next bucket and we look at the $10 million to $15 million chunk and some of the initiatives that Peter mentioned, I'll highlight 2 of those, apparel and Japanese distribution. And let me start with the Japanese distribution. So we have said that that business is roughly $8 million to $9 million to $10 million business for Gregory, when it was sold to A&F as distributor. And so as you know, we're replacing the distributor with our own sales office, distribution office, marketing office. And so we'll get the higher revenue and get the wholesale margin, but then we also need to incur the OpEx to support those underlying sales. And so, of that $10 million to $15 million, there's a good chunk that is related to taking over the marketing and the selling efforts of Gregory in Japan. And then also as you know, the other big chunk of that $10 million to $15 million is the incremental apparel spend. And I think the last chunk I would mention, other than the apparel and distribution, would be the integration costs. There are some costs next year that we do anticipate incurring to make sure that POC and PIEPS are fully integrated better, a little bit more onetime related, and so we'll see those run through our 2013 P&L that most of this should be gone in 2014.
Peter R. Metcalf: And let me just, Andrew, jump in and join Robert and add a few more -- a little bit more color to this. In Japan, we are also, as you heard me mention a moment ago, using our new entity to launch Black Diamond apparel and take control of that to grow what we believe Japan has. Really a very robust opportunity for Black Diamond with apparel, so that's part of the expense. In addition to that, as you know, we announced the opening of our brand new BD-built, BD-owned, BD-run ski factory at the end of 2012. There is a meaningful cost in ramping that factory up in 2013. It will provide us with a 100% of our skis. And there's a significant room and capacity in that factory to grow it. We think that factory is worth the investment because skis are a very high-profile product. Growth in [indiscernible], backcountry, sidecountry, freeride skiing, as you are aware, is the one growth area of skiing. The Wall Street Journal featured a piece on this just yesterday, or the day before, and producing world-class high-quality skis is absolutely integral to our brand positioning, and it certainly [indiscernible] I think what the apparel is being built upon. In addition to that, we're making substantial investments in our B2C. We believe that it provides a significant growth opportunity for the business. And then last but not least, is certainly the PLM platform, so that we can grow the apparel quickly in a very controlled manner. So those are a few of the highlights.
Andrew Burns - D.A. Davidson & Co., Research Division: Okay, thanks for the detail, and a quick question on the gross margin. If you were to exclude the mix benefit from the more favorable gross margin on the acquisitions, is there any story to be told for a portion of that improvement coming from improved pricing, product costs, operational improvements that are noteworthy?
Robert N. Peay: Let me start with this, and see if Peter has anything to add. So what we tried to articulate in our press release is what our gross margin is expected to be. And let me just take the year-to-date information of 38% versus the 38.7%. That is -- it is outlined in the press release. There's another $2.3 million that's included within that gross margin that brings it down by about 1.3 points. So if you add those 2 together, you're looking closer to a 39.3%. So we're thinking we could be up 60 basis points overall for the year, so we're quite pleased with that. And certainly, POC and PIEPS have added to that in the back half of the year. But as we've talked about all along, we've had good product mix, and the products that are selling really well are typically some of our higher-margin products. And so that continues to be a theme that we've seen now for the last, almost 18 months, maybe 2 years.
Operator: Our next question is from the line of Joe Altobello with Oppenheimer.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: I also want to say congratulations to Robert and good luck. It was great working with you these last year or 2. Just a couple of questions that I -- I guess, first off, let me start by asking, given the top line guidance that you guys talked about in '13, the gross margin, the SG&A growth, would you expect to be profitable in 2013?
Robert N. Peay: Hi, Joe. This is Robert. And so let's talk about the different components. So you've got the sales components of the growth, 20 -- $216 million to $221 million. If you factor and apply the gross margin guidance that we gave of 40% to 41% and then factor in the OpEx amount of $20 million to $25 million, from an operating margin perspective, you should see some positive income. And so, I'll leave that modeling up to you, but just to kind of guide you through that, those are kind of the main buckets.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Okay, got it. And then secondly, you mentioned that next year you're looking at, I think, 18% to 20% growth, if you assume that you owned POC and PIEPS since January 1 of '12. Could you give us what you expect the underlying base business to be up next year, if you exclude POC and PIEPS? Looking at it that way, I guess.
Peter R. Metcalf: This is Peter, Joe, hi. We don't -- for competitive reasons, we do not speak to individual brands or provide brand-specific data. That said, all of our brands are expected to grow at healthy rates. I think we're, in most of our categories, gaining market share. And we expect growth in Europe for all of the brands, and we expect all the brands to be moving forward. That said, there's no question that both the launch of apparel, as a new category, will have very good growth with it. And POC is on a tail right now, and that is the brand that will have the -- also a very substantial growth over the next coming years. That said, PIEPS, just because it's coming on our platform even though it's more of a tuck-in acquisition, we should see some very, very solid growth in that. But that said, we are counting on good solid growth for Black Diamond and Gregory as well.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Okay, so '12 and '13 should look more like the historical Black Diamond growth rates, rather than 2012 growth rates, in terms of your organic business?
Peter R. Metcalf: I think that's fair to say, yes.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Okay, and one last one, I'll give it a shot, but any chance you want to give us what your apparel revenue target is for 2013?
Peter R. Metcalf: No, we don't want to break that out. As we've shared, we're using a strategy that is a bit of a hockey stick and trying to build -- are committed to building a premium specialty brand that is really supportive at a grassroots level by professional athletes, the core and specialty retailing. So we are -- I think we've been successful in getting that apparel line in with a meaningful collection. It's all the key retailers that we wanted to in North America. We've got it in key places in Europe, in China. We're doing that right now in Japan, and even in Moscow. So we're very pleased with the response we're getting in there, but we're not going to talk about the numbers and break that out.
Operator: Our next question is from the line of Camilo Lyon with Canaccord Genuity.
Camilo R. Lyon - Canaccord Genuity, Research Division: And let me also add my congratulations and best wishes to Robert. Peter, you mentioned something, towards the end of your prepared remarks, with regards to focusing on more of the organic growth, with now the new businesses added into the portfolio. Could you just add a little bit more color on that and what you see your strategy being? We do take that as an indication that you're stepping off of the stated $250 million in sales by 2015 from companies that have been acquired? How should we think about that?
Peter R. Metcalf: Camilo, hi. Thanks for the question. I think here is the way to think about it is that when we communicated that $250 million number, relative to acquisitions and their organic growth and what that could represent to Black Diamond over a period of time, the reason that we were communicating that was to make sure that the markets understood what the opportunity is and what the potential was. And at the time that we communicated that, we had made no announcements, relative to our plans in apparel and what we thought that could realize at that time. We had no plans, relative to the acquisition of Gregory's distribution assets from A&F in Japan, nor did we -- had the thought that we're going to acquire POC or PIEPS, which are 2 very large opportunities. And as we look at it right now, just under 3 years into this, we continue to see very robust growth opportunities for Black Diamond and Gregory and especially apparel, which we believe has got incredible opportunity for the company. In addition, though PIEPS may be a tuck-in to Black Diamond, it's got good short-term growth. And certainly, POC has got very significant short- and medium- to long-term growth for the company. And what we wanted to do at this point in time, is really focus, and not exclusively but primarily, on the organic growth opportunities that we see in front of us. We believe they're very robust. We can do that very readily, grow them with our balance sheet and our working capital. And we just want to be sure that we now, with apparel, with the creation of Gregory/BD Inc. in Japan, with the POC, and with PIEPS, and 2 great brands, that we are disciplined and that we do not distract too much focus away from the critical integrations and the growth of these brands that we have. That said, as you know, and from my comments in this that I opened with, we do have the balance sheet and the working capital, or the revolver from Zions, to do some meaningful modest tuck-in acquisitions, 1 or 2. And it's the right one to get ripe this season, and we have someone working on that. We will execute on that. But right now, our primary focus at this moment is on growing the brands we have, on the platforms we have, with the new part of the platform we have in Japan and really just make the very most of that. We're not looking to do a transformative acquisition at this time. Obviously, if something incredible presented itself, we would look at it. We just believe that the growth opportunity is right now in front of the company, and what we've acquired and what we've added to the business really creates some pretty compelling opportunities in the largest silos that focus in on. So that's the focus at this time. And as I said, we do have the balance sheet. We do have some decent acquisitions with our working capital line. But the focus right now will be on growing the businesses we own, in the places that we have operations, with lesser focus at this moment on acquisitions.
Camilo R. Lyon - Canaccord Genuity, Research Division: Would you say that then the longer-term sales opportunity goals that you guys have set out to 250 from acquisitions and the 250 from apparel, have those changed then? Do we think about those differently? How do we think about what kind of that ultimate size of a company that you guys are aspiring to make it should look like?
Peter R. Metcalf: We still are very bullish on the -- we continue to be very bullish on the apparel and that's part of the reason to want to stay focused on this opportunity along with POC, PIEPS, BD Gregory, to continue to grow this business. On the acquisitive side of things, I think there continues to be the opportunities for Black Diamond to grow acquisitively. Whether it's 250 by 2015 to what we've acquired and what we've grown organically, I think is a bit of a question at this point in time, but it depends upon what presents itself and if it is worth deploying those resources to go after that opportunity when we've got some other great opportunities now clearly in front of us to grow what we have. So that's the focus. As I said, we will still look at the appropriate acquisitions. We have that ability to do that. And we haven't turned all of our attention from that. But as to that -- your question as to the number, that is something that is, at this moment, probably in question relative to the date at 2015. But it also depends upon what comes our way, and how good that opportunity is. Is it worth going after, and what that entails, or is it not.
Camilo R. Lyon - Canaccord Genuity, Research Division: Okay, that makes sense. And just, I wanted to clarify something too. The 5-year CAGR growth that you said of 15% to 20%, that was in reference to sales, correct?
Peter R. Metcalf: Correct, yes.
Camilo R. Lyon - Canaccord Genuity, Research Division: Okay. So it sounds like, just in kind of like a quick back of the envelope on the current sales base that you're still looking to get that north of, call it $500 million to $600 million in sales over that time period by taking the companies that you've already acquired, but also the new parts of the business that you've added on like the ski business, like Japan, Gregory, and really that Japan distribution, that basically come in and you served a lot of the expected accretion that could have come from companies that have yet to be acquired, right? So is that a fair way to think about it? You've had now the pieces of the puzzle come to play -- come into play, where they are now going to be significant contributors to the top line so that end goal is still a one that is -- a company that's -- a $0.5 billion company
Peter R. Metcalf: Yes, the goal of creating a $0.5 billion and beyond company is still very much the vision that we have and the belief that we have. We do believe that between POC, which has great potential and the longer we own it and the more we work with the team and see what the plans are, the more enthusiastic we get as to what this -- where this brand can go. And the revenue that it can generate. Likewise, we feel the same way for Black Diamond with its gear and equipment and with what apparel presents and Gregory with its lifestyle product and Japan. So that, all -- that collection of brands, and to a lesser extent PIEPS on a global basis, as I said in my opening remarks provides us with long-term continuous solid double-digit growth opportunities. So that is the focus. But as I've also said, to take us to that number, but as I've also said, we're not turning our back on acquisitions if the appropriate opportunities present themselves, and we do have the wherewithal to do that right now for the appropriate tuck in from scale opportunities.
Camilo R. Lyon - Canaccord Genuity, Research Division: Got it. And just one other final question. You've brought up POC a lot and rightly so, it's, I think, a brand that has a lot of opportunity. Could you discuss some of those opportunities into the different categories you're exploring? I believe road bike and commuter are 2 parts of the potential category side that you guys are exploring. What that could look like, what the timing on that is? And perhaps the discussion point on how much -- what could that lead from a door expansion distribution perspective?
Peter R. Metcalf: I think it's -- I appreciate the question, and I'm going to limit my response at this moment and just share with you that POC is in 2 primary categories. One is snow and one is in wheels. In snow, the categories that it plays in are helmets, goggles, glasses, body armor and gloves. If you look at some of the data that SIA released here in the last few weeks, POC, without question, grew the fastest of any of the brands out there of any substance. It was the fastest-growing, it took the most market share and I believe that was goggles and helmets, but I'll let you check those numbers. And then when you look at the aggregate amount of market share that POC has in any of those categories, this huge opportunity is in front of it, both just within the doors that it's in, which are all the most premium sort of leading specialty ski shops in Europe, North America, Canada and Japan. But there is far more doors that it can be in. So those doors will grow substantially over time. It has a very small direct to consumer business exclusively in Europe nowhere else. That is going to grow, investments are going to be made, the platform that BD is investing in right now and that we will launch, the BD brand, then Gregory, then BD apparel offered this year in 2013, we'll be able to handle POC in 2014. The other primary category that POC is in is wheels. It is currently in, as you know, time trial helmets, mountain biking and has just launched, is in the process of launching road bike. In addition, it has body armor for freestyle, downhill racing, and it has some apparel. We have talked about POC's interest in more apparel and commuting and really attacking in a very systematic and strategic way with innovative designs and beautiful styling and a strong brand, the cycle market in a much more vigorous way. That's one of the things that has -- or the qualities that has very much attracted us to POC, because as you know, the cycling market when you take in road, mountain, commuter and you take in helmets and apparel and accessories, it's a huge market that dwarfs skiing. And that's what gets us very excited about POC. So those plans are being developed as we speak. But I think at this point, that's as much as I think we're ready to share with the market.
Operator: Our next question is from the line of Adam Engebretson with Piper Jaffray.
Sean P. Naughton - Piper Jaffray Companies, Research Division: This is actually Sean on. I guess, just in terms of the 2 warm winters in a row that we've had out there, slow start to this winter, obviously, things have gotten a little bit better over the last month with ASAP orders starting to pick up. How do you guys feel like the inventory is out there in the channel, in the kind of the specialty outdoor channel that we have a tough time getting a read on ourselves as analysts. How do you feel like the inventory is in that channel, and those retailers really are positioned as they're starting to order and build their book for 2013?
Peter R. Metcalf: Sean, Peter. Thanks for the questions and the deserved gracious comments on Robert. That's a great question. And it's something obviously we hear with all of our brands have been very, very attuned to. And one of the missions we gave to our sales management team, let alone ourselves, was to make sure that at the recent triple crown of trade shows i.e. OR, SIA and ISPO, that we were really inquiring directly to as many retailers as possible and our competitors about what did the inventory situation look like. And I'm pleased to report that at retail, at least within the retail channels that we deal with, as we get ready to leave -- as we've left January, now we're in February, the inventory situation with the retailers is a heck of a lot better than it was 1 year ago. Fortunately, life at retail for winter products of all sorts, from apparel to footwear to gear and equipment did come to life right around Christmas time, late for getting meaningful margin, but it did come to life. And it has been reasonably healthy since. And the word that we're getting is that at the retail level, inventory seems to be in quite good shape and residual inventory is not going to be a meaningful restraint on how retailers order for POC, or PIEPS, or Black Diamond, or Gregory, what have you. I think probably the bigger issue that we'll contend with and everybody will be contending with is a bit more of a psychology that retailers now are talking about risk allocation and who bears the burden, how much inventory do they want to order, how much do they want to chase? What percentage should we carry? That's something we're looking at very hard. Fortunately, we have a distribution center in Zhuhai. We can aggregate ASAP inventory and determine at the last minute where we ship to. But again, from the retail levels to your question, it seems much healthier than it did one year ago. With vendors, I think the situation is substantially better as well. That said, there will still be some inventory overhang in the -- those channels that bought up inventory this winter at discounts to make sure that they could sell it online, at sales at big boxes, et cetera. But I think we enter -- we will be moving into 2013 in a better position, both in the level of inventory retail, the reduction in channel, and I think a much better psychology relative to both the consumer and the retailer, meaning their memory of this winter will be a fond and warm memory relative to the amount of the time they spend outdoors, the amount of snow there was, the amount of time they had big grins on their face for skiing and climbing and just doing the winter activities, versus coming into this winter where people's memory of the past winter was pretty grim and the winter began guilty until proven innocent and it took until about Christmas time to be proven innocent.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Got it, that's good to hear. And then just a quick question on the BD Japan. Obviously, bringing Gregory back in-house will be a -- sounds like things have transitioned well. Things are shipping well. But just in terms of the other opportunity in Japan, longer-term, do you envision that country being a fully direct distribution country over the next few years here at this point in time?
Robert N. Peay: Sean, good question, and this is Robert. So let me have Peter answer that question. But if it's appropriate, I do want to clarify something that I think's important relative to the timing of when we're planning on filing our K and sharing our numbers, because I think there might be a little bit of uncertainty. So my plans are to stay through March 15, which is the date that we plan to file our K, or maybe a few days before. So I want to assure everybody that our process for gathering and going through our audit, it's on target. It seems to be going really well. We plan to file reasonably close to when we filed the last 2 years and I do plan on signing the K and also the compliant certificates for Sarbanes-Oxley. So just, I appreciate everybody's kind comments towards me, but I did want to focus for a moment that everything's okay. My leaving -- I really did want to wrap up this year and get Aaron off to a good start, but my leaving has really nothing to do with the future of Black Diamond. I'm just needing a little bit of a break. So there's nothing that you guys should concern yourselves with. Okay, I just wanted to say that. So I think Peter can talk about BD Japan.
Peter R. Metcalf: Thanks, Robert. Yes, I'm glad you clarified that, that these guys can all work with you for another month as well. So relative to BD/Gregory Japan, the goal with that and what that is all about, is right now it is about doing what it's doing right now, which is shipping and taking orders, shipping Gregory spring 2013, and it is the selling Gregory fall 2013. In addition, it is launching right now as we speak, the Black Diamond apparel line to the Japanese market. And that's why it's so great to have Mori Hikari as the Managing Director of Gregory/BD Japan, with his years worth of experience as the president of The North Face Japan for Goldwin. He's got an immense amount of apparel experience and knowledge, so he's been very helpful. The next plans relate to both what we're going to put on there, relates to POC and PIEPS. As far as then the BD equipment brand, we haven't announced a date at this point in time. We have a wonderful working relationship with a company called Lost Arrow and an individual by the name of Naoe Sakashita, who has managed to grow that business year in and year of a double digit CAGR since he was set up in business. When we created Black Diamond, he was an investor in the company and is Japan's most famous and respected climber and alpinist. So there will be a point where he is ready to retire, and he is in his mid-late 60s, and we will take that on. But we haven't targeted a date at this moment.
Operator: Our next question is from the line of Rob Young with William Smith.
Rob Young - Wm Smith & Co.: On that topic, how long is the recruiting timeframe expected to last?
Peter R. Metcalf: For the CFO?
Rob Young - Wm Smith & Co.: Yes.
Peter R. Metcalf: I think it's probably -- not having -- we haven't gone through this process and as we've shared, Aaron is a candidate there, but I think it's probably -- we're starting it now, and it's a couple of months. And Robert is here for another month.
Rob Young - Wm Smith & Co.: Right. Okay. Can you comment on some of the things that specifically you might be looking for at all?
Peter R. Metcalf: Well, certainly what we're looking for is someone with the skill sets that Robert Peay had, or has, and then what we will also be looking for is a candidate to see who might have -- in the pool given with experience with publicly traded portfolio corporations and strong operating backgrounds.
Rob Young - Wm Smith & Co.: Okay, great. Switching over to gross margins. In the press release, you mentioned that the 2013 gross margin uptick is related to the 2 acquisitions, as well as higher-margin projects -- or products. Can you differentiate between those 2 vehicles at all?
Robert N. Peay: Rob, it's Robert. So the comments made on 2012, also relate to 2013, meaning that we saw some good margin accretion from the acquisitions of POC and PIEPS in the back half of 2012 and also product mix. So that theme, 2012, we expect to continue in 2013, to give us confidence that we think we can do between a 40 and a 41. I think we've been pretty open about PIEPS margin in the past being close to a 50 and POC's margin for a hardgoods company being higher than most hardgood margins. So you're kind of in that 40, 43, 45 range. And then also BD margins, the fact that we own or just sell about 1/3 of our own manufactured products, that's always a nice boost because you can control a little bit more of your costs. And as we add more throughput, we typically reduce our fixed cost per unit. So those are the big drivers. And also, I would add apparel. As you know, we'll launch, to retailers, or to soon to be in stores, in the fall of this year. And I think apparel will be accretive from a gross margin perspective right out of the gates. And then will become a little bit more so as time passes, and we get a little bit more scale.
Rob Young - Wm Smith & Co.: Okay, great. And then the last one, I know that you guys have talked about Japan quite a bit. But as a result of your transition, have you noticed anything that has changed positively or negatively from a sales standpoint?
Peter R. Metcalf: Rob, it's Peter. It's way too early to tell. We started shipping the first product, it was the second week of January and it's the end of winter, we haven't started shipping spring yet. What I will share with you is that the response has been very positive. We turn out right now to the -- I should add that part of the reason we timed this apparel launch in Japan was in part because we just moved into our new facility. We had, had a small office there. So it's also a grand opening party and event to bring the retailers in. But it was RSVP-ed very strongly that event, which is separate from the apparel launch event there's a series of events they go back-to-back from Tuesday to Friday. And so far, all the feedback's been very positive, and we've hit no glitches, haven't stubbed any toes at this point. So we're feeling very good about it. But we need some more time to give you anything empirical by which to say -- point and say look at that.
Operator: Our next question is from the line of Mark Smith with Feltl and Company.
Mark E. Smith - Feltl and Company, Inc., Research Division: Just one fairly quick question. Just -- can you give us any breakdown on the mix of domestic and international and what your outlook for '13 on -- what you have to open for Europe and anything for currency?
Robert N. Peay: Okay, Mark, good question. I was just taking a look at the spreadsheet I had in front of me. And so -- the mix of international versus domestic, at the moment we're kind of looking at that kind of the 55% to 60% range for international and then the rest domestic. Now, keep in mind that, that international does include Canada. So if you look at business, how we think about it, in terms of the different geographical locations of North America, Europe and rest of the world, you're kind of looking at around 50% for North America in 2012, 35% for Europe and the rest of the world about 15%, 16%. And we would see that trend towards a little bit more balance in Europe continuing in 2013, right? Because then we'll have a full year POC, a full year PIEPS, and as you're aware of, they have more market share in those European countries than they do in the U.S., which obviously is an opportunity for us in the U.S. But I think that trend will continue in 2013. And the exception -- not the exception, but the other thing to point out would be the rest of the world and Asia will also get more significant because of the BD Japan entity. So I think what you'll see is that 50, 35, 15 mix start to have a little bit less concentration of North America and a little bit more higher percent of Asia and Europe will continue to grow. So I think over time, it may not be 1/3, 1/3, and 1/3, but it's certainly moving towards that.
Mark E. Smith - Feltl and Company, Inc., Research Division: Then, I guess, you're comfortable with the state of Europe today and that's, I guess, fully built in your sales estimates for the next year?
Peter R. Metcalf: I will say that having Mark Tevin [ph] just come back from Europe 1 week ago -- well, it's less than 1 week ago, I come back more confident about Europe than when I departed to go over there and what I mean by that is our numbers for Europe are not overly bullish, because they were built upon at a time where the winter was not looking very good, and we had the euro uncertainty. We have the recession. So I think we've adequately built in those environmental externalities. And then I would say coming back from a trade show, seeing the level of attendance, talking to retailers, talking to our sales agents, there was a higher level of cautious optimism and energy than I had anticipated I would feel and experience. And that feeling was shared by the European management team of all the brands. And so right now, I feel more confident than I did going over that our numbers are absolutely appropriate for what we see in Europe. And it is a market that really does have, in the medium to long-term, great, great potential for us, because it's just such a large market of outdoor enthusiasts, where there are cyclists, trail runners, mountaineers or off piece skiers, or what have you. It's just a huge market. So it's gratifying to see a sense of stability coming to the market and a level of guarded or cautious optimism by people that it's going to stabilize and slowly improve now.
Operator: [Operator Instructions] Our next question is a follow-up from the line of Sean McGowan.
Sean P. McGowan - Needham & Company, LLC, Research Division: A couple here. Robert, will -- should we expect there to be continuing impact of the step up inventory accounting into 2013, or is it all concluded in Q4 of '12?
Robert N. Peay: Sean, thank you, I should've mentioned this earlier. We fully expect that all the step up should run through Q4 at 2012. So there shouldn't be any step up related to the acquisition of POC and PIEPS continued in to Q1 2013.
Sean P. McGowan - Needham & Company, LLC, Research Division: You had said that in the past, I just wanted to make sure that nothing had changed on that. And then second question is, I'm having a little trouble here with some of the math on growth. Does the growth that's baked into your guidance for '13 and beyond? Does that imply a lot less growth for POC than is kind of explicitly stated in that earnout provision?
Robert N. Peay: Sean, this is Robert. So the earnout provision, as you know, generally has it targeted around 30% growth. And well, you've got to be a little careful not to get into segment information. I think the way to think about that is that is directionally the way that, that model is still built.
Sean P. McGowan - Needham & Company, LLC, Research Division: But you haven't sort of calibrated down that expectation and I'm not trying to take any earnout money out of anybody's pocket, but if that's going to grow at that rate, and you have the growth in the rest of the business, it kind of just -- it seems like it's a little less than what I would have thought.
Robert N. Peay: Good question, Sean. I think what we experienced -- well, POC has a lot of potential, for all the reasons Peter has mentioned. And so we haven't really backed off of our view of those long-term growth rates. Now when we came into this winter, certainly we had to reset and understand how much inventory was currently in the channel and what that meant, not only for fall '12, but then how it kind of rolls into '13. But as a general rule, Sean, we really haven't really backed off on our view of those long-term growth rates at POC.
Operator: Our next question is a follow-up from the line of Camilo Lyon.
Camilo R. Lyon - Canaccord Genuity, Research Division: Peter, just a quick question. You gave the 5-year CAGR. What do you see as kind of the long-term opportunity on EBIT margin basis for the business? Are we talking double digits here, high singles? How do you look at the business over the next 5 years?
Peter R. Metcalf: I'm going to ask -- Camilo, thanks for the question, I'm going to pass that one on to Robert.
Robert N. Peay: So Camilo, we did mention in our prepared comments that in '14 is when we believe to start to see some significant improvement in EBITDA. And we believe that, that will continue beyond '14. And the investments that we're completing now in 2013, that should be kind of the tail end of the heavy investment phase and that the investments in apparel and ski manufacturing in Japan POC and PIEPS should start to show some really nice returns. So it should be -- you should expect to see double digit EBITDA margins in the out years, for sure.
Camilo R. Lyon - Canaccord Genuity, Research Division: Great, that's very helpful. And then just lastly, anything on the NOL front?
Robert N. Peay: Nothing necessarily new. It's still a wonderful asset that we have that helps mitigate any U.S. sourced income tax, federal income tax, that we have to pay. So no real changes in valuation, or our view of it, so still glad to have it.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Metcalf for closing remarks.
Peter R. Metcalf: All right. Let me just thank everyone for participating in the call this evening. It's much appreciated. And I think I'll just sum up by saying, as I've shared, we've just concluded 3 trade shows around the world, and we're very gratified at the response as the first trade shows where we had 4 brands, especially at ISPO together and to see the response to those brands of gathering employees together and seeing what the potential is of the various teams working together in certain things. And the response by the marketplace was very gratifying. So we're inspired by that. So with that, I'll just say thank you, and we look forward to speaking with you all again on these calls, or at some of the conferences coming up.
Operator: Ladies and gentlemen, this conclude today's teleconference. You may now disconnect your lines at this time. Thank you for your participation.